Operator: This afternoon, Bohn Crain, Radiant Logistics Founder and CEO; and Radiant's Chief Financial Officer, Todd Macomber, will discuss financial results for the company's first fiscal quarter ended September 30, 2021. Following their comments, we will open the call to questions. This conference is scheduled for 30 minutes.  This conference call may include forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The company has based these forward-looking statements on its current expectations and projections about future events. These forward-looking statements are subject to known and unknown risks, uncertainties and assumptions about the company that may cause the company's actual results or achievements to be materially different from the results or achievements expressed or implied by such forward-looking statements.  While it is impossible to identify all the factors that may cause the company's actual results or achievements to differ materially from those set forth in our forward-looking statements, such factors include those that have in the past and may in the future, be identified in the company's SEC filings and other public announcements, which are available on the Radiant website at www.radiantdelivers.com.  In addition, the past results are not necessarily an indication of future performance.  Now I'd like to pass the call over to Radiant's Founder and CEO, Bohn Crain. The floor is yours.
Bohn Crain: Thank you. Good afternoon, everyone, and thank you for joining in on today's call. We are very pleased to continue our trend and report another quarter of record financial results for the September quarter. We posted record revenues of $286.1 million, up $110.2 million or 62.6%, record net revenues of $64.9 million, up $18.9 million or 41.1%, record net income of $7.1 million, up $4 million or 129%, record adjusted net income of $10.6 million, up $4.1 million or 63.1%; and record adjusted EBITDA of $14.5 million, up $5.3 million or 57.6%. In addition, we also saw improvement in our adjusted EBITDA margin, which increased 230 basis points to a record 22.4%, up from 20.1% for the comparable prior year period.  These results reflect the benefit of our scalable nonasset-based business model, diversity of our service offerings and our ability to quickly respond to the changing market dynamics. Not only are we continuing to see solid recovery in our legacy business, but we are winning meaningful new business across the platform in the U.S. and in Canada.  In addition, we continue to deliver these record results while continuing to maintain very low leverage on our balance sheet. As we previously discussed, we also believe that our current share price does not accurately reflect Radiant's intrinsic value or long-term growth prospects, particularly given our unlevered balance sheet, and therefore, represents an excellent investment opportunity for both the company and our shareholders.  Although we always have a fairly narrow trading window in our first fiscal quarter, given the timing of our 10-K filings, we were able to continue our stock buyback efforts and purchased approximately $1.7 million of our stock during the quarter. We also remain encouraged by our continued strong financial performance and the fact that we have now reported a record $54.1 million in adjusted EBITDA for the trailing 12 months ended September 30.  Looking ahead, we believe we are well positioned to continue to support existing and new customers in what is proving to be a persistent capacity-constrained market. Hopefully, our strong -- our continued strong performance, strong -- and strong balance sheet, we'll begin to register with investors as we remain optimistic about our prospects and opportunities to continue to deliver profitable growth.  In the months ahead, we expect to continue to be active in our stock buyback activities and look forward to reactivating our acquisition efforts as the opportunity presents itself.  With that, I'll turn it over to Todd Macomber, our CFO, to walk us through our detailed financial results, and then we'll open it up for some Q&A.
Todd Macomber: Thanks, Bohn, and good afternoon, everyone. Today, we will be discussing our financial results, including adjusted net income and adjusted EBITDA for the 3 months ended September 30, 2021.  For the 3 months ended September 30, 2021, we reported net income attributable to Radiant Logistics of $7.79 million on $286.1 million of revenues or $0.14 per basic and fully diluted share. For the 3 months ended September 30, 2020, we reported net income attributable to Radiant Logistics of $3,088,000 on $175.9 million of revenues or $0.06 per basic and fully diluted share. This represents an increase of approximately $3,991,000 of net income over the comparable prior year period or 129.2%. .  For adjusted net income, we reported $10,559,000 for the 3 months ended September 30, 2021. For the 3 months ended September 30, 2020, we reported adjusted net income of $6,520,000. This represents an increase of approximately $4,039,000 or approximately 61.9%. For adjusted EBITDA, we reported $14,544,000 for the 3 months ended September 30, 2021, compared to adjusted EBITDA of $9,226,000 for the 3 months ended September 30, 2020. This represents an increase of $5,318,000 or approximately 57.6%.  With that, I will turn the call back over to our moderator to facilitate any Q&A from our callers.
Operator: [Operator Instructions]. Your first question is coming from Mark Argento.
Mark Argento: Yes, just -- obviously, incredibly strong quarter. Could you -- anything in particular or any parts of the business that are really over-indexing? I know it seems like it's been pretty broad-based, but anything you got that could shed a little light on where you're seeing some additional strength would be helpful?
Bohn Crain: I think it's been positive really across the board, virtually every category, has seen good improvement. In terms of kind of individual outperformers, from a modality standpoint, probably our ocean product has been the single kind of biggest improvement with everything going on, all the constrained capacity for congestion. There's a lot of shippers out there scrambling to find capacity and, fortunately, we've been in a position to kind of step in and get opportunities to support customers where they couldn't find capacity, allow us to kind of demonstrate some of our relationships in the marketplace to get things moving when sometimes they otherwise weren't getting service.
Mark Argento: Great. Is that just some of your key relationships that you have? Or how are you guys able to kind of step in and provide that when it's such a tight market?
Bohn Crain: I think it's a combination of both servicing our existing customers. But this market has created an opportunity for us to get engaged with new customers, new accounts that historically we have not serviced but we've had an opportunity to begin to work with in this market environment.  So part of what we're doing is trying to make sure we do all we can to make sure that the customers kind of stick with us after the fire fight, so to speak, in terms of sourcing capacity.
Mark Argento: Great. And this last one on the buyback. Just remind us what you guys have left in terms of availability there?
Bohn Crain: I think we have quite a bit. I -- my remembrance, I think we were authorized for up to 5 million shares.
Todd Macomber: Correct.
Bohn Crain: And we're fairly early into that. And I believe the existing program actually expires under its own terms as of the end of December. So we'll have to be refreshing.
Todd Macomber: Yes. I think the availability is the 3.8 million shares are about left. So there's ample opportunity.
Mark Argento: Great. Well, it's really impressive to see what you guys have been able to do given really tight situations out there in terms of availability. So keep up the good work and have hopefully a really good holiday as well.
Bohn Crain: Thanks, Mark.
Todd Macomber: Thank you, Mark.
Operator: Your next question is coming from David Kanen.
David Kanen: Congratulations. Great job.
Bohn Crain: Thank you.
Todd Macomber: Thanks, Kanen.
David Kanen: You're very welcome. So first question is on some of the new accounts that you've gotten into, new customers that were looking for excess capacity. Do you have a deliberate game plan to not only retain but to augment the potential relationship and business going forward? And if so, could you sketch that out for us a little bit some of the things that you're doing?
Bohn Crain: Well, I think we really are trying to -- it's not uncommon whenever you're kind of entering into a new account. The first thing they give you is some of their difficult hard-to-handle lanes or pieces of business that they're otherwise struggling with and with their incumbents where you have to kind of cut your teeth and demonstrate your value. I think this is just another example of that. And we're bearing very well in that process. And so I think part of the battle is just kind of getting engaged and having the opportunity to kind of demonstrate what you can do.  So I there's no specific plan per se other than to really stay engaged with the customers, try to be -- provide as much value and ultimately as much stickiness as we can through our technology and reporting tools and just demonstrated ability to get things done when others can't. And I -- we've seen this happen in a number of different scenarios. The most obvious for me is just thinking about all the work we did in and around FEMA and PPE and kind of the early days of COVID. And how that has kind of the credibility we gained through our ability to execute in that environment has continued to kind of permeate into incremental and new business opportunities across the organization. And we -- I view this as just another iteration of that same story.
David Kanen: Understood. I mean it shows through the numbers. And then my next question is just the landscape in terms of M&A. If you could just comment in a general way kind of where multiples are -- where deals -- if you were to be successful in finding the right partner, where you think stuff is trading right now in terms of EBITDA?
Bohn Crain: Well, I don't know how many potential sellers are on this call. So I'll be somewhat guarded in my comments. But it's fair to say the market remains robust. I think we continue to look at stock buybacks as an alternative allocation of capital relative to M&A, and it's kind of the M&As incremental strategic value to what we -- what we're doing. But at least, I guess, give you some high level post for the conversation. David, as a general rule of thumb, we would expect companies doing $10-plus million of EBITDA to be trading at, call it, plus or minus 10x in a normal market. And I would say, a company doing plus or minus $2 million of EBITDA to be trading at plus or minus 5x in a normal market.  Now we could talk through many hours and several bottles of wine as to what a normal market is these days because it's a complicated market environment to do M&A because of -- if one thing is, for certain, this market is not normal in a lot of different dimensions right now. So it's -- with all that said, our -- kind of our baseline plan is to continue to take a balanced approach and deliver a combination of organic and acquisitive growth. And along the way, continue to do M&A through effectively a kind of a 3-pronged strategy.  And I don't want to say we'll never do a large transaction, but that is really not our principal focus. We're really looking at these smaller tuck-in type acquisitions that we can do. And as we've talked before, that can take the form of conversions of existing agent stations to company-owned stores, like our -- I think it was February a year ago, where we acquired our agency station, the owner who owned DCA in Pittsburgh that we acquired in. So we have our conversions of existing agency stations when they're ready as well as other kind of incremental stand-alone for orders, and there's a lot of them out there that would be available.
David Kanen: Yes. That's really helpful, Bohn. And I appreciate the fact that you recognize the value inherent in our stock and are willing to buy it. One thing that I would like to share with you, just as a friendly investor, wanting to see you guys be successful and me benefiting as a shareholder is to -- I wish you could buy a heck of a lot more stock. And for example, my math is at even $8 a share, you're buying your stock at 7x EBITDA, a significant discount to your peers and where M&A as you pointed out, is occurring right now.  So obviously, it's very -- it's a nice arbitrage, extremely accretive. I would be willing as an investor, and I'm sure there are people that share my sentiment to purchase. We manage fixed income portfolios. I would love to do a preferred, in other words, like let's use a lot of our cash, okay? And then if an M&A opportunity comes up, and you need cash and you've committed to buying back the common, I'd give you money at highly friendly terms. I would say probably 7% on a preferred that ultimately, you know that you can call in once you start generating free cash flow again.
Bohn Crain: I've never negotiated a term sheet on an investor call, Dave, but I appreciate your offer.
David Kanen: Yes. I mean I would be willing to do that, and I'm sure there are other investors. That's where the market is. We do -- we're pretty active in fixed income. I'm just speaking generally, and it's -- obviously, it's not a term sheet, but I appreciate your lightheartedness about it. But I just -- if I value this thing using like $57 million, $58 million of EBITDA, which it seems like you're well on track to meet or exceed. And then even if I -- on the earn-outs, the contingent liability on the balance sheet, the earn-outs to be paid, if I use an enterprise value of $410 million, including that, we're still at 7x EBITDA. So at $8, it seems to make sense. So like some type of a tender, I think would move the needle more. And that's my opinion. I mean not everyone is going to agree with it, but I think it would yield us a better result. And I just wanted to share with you that I'd be willing to certainly put money into a preferred.
Bohn Crain: And yes, I appreciate that and all seriousness, there are certainly -- there're people who have suggested tenders and strongly in favor, some less so enthused about a tender. But there's general consensus, broad-based bipartisan consensus that our stock is really undervalued. And we certainly recognize that. And it's -- in one sense, it's frustrating in another sense, as you're describing, it's also an opportunity. And we're -- we recognize it as such, and we've begun putting capital to work, and we expect to continue to do so. Potentially or likely at a larger scale than what we have done recently and as a quick background, we were active in -- we were beginning our stock buyback and then COVID hit. So we had to hit pause because of the PPP loans. And then ultimately, we got started again, but this quarter, we literally only had like, I think, 10 days because of the timing of the Q. So we were very aggressive effectively buying all the stock that we technically could during the window that was allowed.  But we'll continue to be good allocators of capital while preserving our financial flexibility to be actionable in terms of M&A opportunities, making good on our brand promise for excess strategies for our partners and making sure we have dry powder to survive any other market anomalies that none of us see coming that might hit us in the head next week.
David Kanen: Well thank you on the context of the buyback and I thought it was only 10 days. That's helpful and I wish continued success.
Bohn Crain: Thank you.
Operator: Your next question is coming from Elliot Alper.
Unidentified Analyst: Maybe on the freight forwarding side and specifically ocean and air services. I guess given the tight capacity, how are you and your customers thinking about their supply chain differently? And have you seen any real shift in behavior over the past several months in this year?
Bohn Crain: Well, capacity is tight. I mean everything is a firefight right now. And what traditionally were easy moves, and I'm talking internationally air and ocean right now, capacity is just tight. So we're having to kind of consistently and perpetually interrogate the market to find capacity literally box by box for the benefit of our customers. And it's certainly an interesting landscape. It wasn't long ago, people talked about this environment is kind of beginning to revert to a norm around Chinese New Year. And that conversation and the narrative has shifted.  I think everybody sees this going deep into next year, deep into calendar '22. So the market remains super tight. Obviously, people are looking to divert into airfreight away from ocean, where the price points of their products will allow that and kind of service line requirements. But it's -- there is no immediate end in sight and capacity remains tight. So in some of the new vaccine mandate dynamics that just is going to put even further constraints on drivers and seats potentially, depending on how all that plays out. And we can go right down the road, chassis, drayage, there's virtually no segment of the supply chain that's not under a fair amount of stress right now. So that creates its challenges. But at the same time, it also creates an opportunity for us to be really helpful to the customers that we serve.
Unidentified Analyst: Yes, definitely. So I guess slightly differently, as new customers come online and come on to the platform, I guess, what are the biggest reasons that they're coming to Radiant? .
Bohn Crain: So, I think that's -- well, right now, anybody who can source capacity -- there's more freight than capacity. So if you can source capacity, you can attract the freight. So I think a real tactical answer is we're able to source capacity for our partners when they need it, right? So that's fundamental. While they're visiting, we make sure to introduce them to our technique -- the robustness of our technology platform, the competency of our teams, to continue -- to try to lay the foundation for a long-term relationship that they'll stick with us kind of beyond the current market dynamics.  And we're certainly seeing that play out and growing not only our transactional business, but thinking of Canada and some of our warehousing and kind of longer-term contractual business opportunities, that business is zinging as well. So it's really hard to identify an area with the exception of cruise lines, which is proving to be unfortunately, probably the absolute last industry vertical to recover, everything else is really zooming. And again, I mean, we can't sit here and expect this to last in perpetuity, but it doesn't appear to be ending anytime soon.
Unidentified Analyst: Congrats on the quarter.
Bohn Crain: Thanks.
Operator: Your next question is coming from Jeff Kauffman.
Jeffrey Kauffman: Vertical Research Partners. Well, first of all, congratulations. Just terrific number. Bohn, when you look out at the environment, I mean it's just crazy out there right now, and that's showing up in the net revenue margins, right? So eventually, we know that those are going to normalize. But do you feel that there's parts of the world where brokers or forwarders are over-earning and that will normalize at some point in time? Or do you feel like we're at this new threshold where these prices sustain and the demand sustains?
Bohn Crain: Well, I think everybody is over earning, but Radiant, I think ours is going to be.
Jeffrey Kauffman: I guess you would say ocean is probably the biggest one.
Bohn Crain: Yes. Yes, for sure. I mean, the kind of the container rates are kind of off the charts, which has translated into some of the ocean lines making more money than they've ever seen probably in the history of their company. So it certainly is a very unusual market. We would like to think it's going to revert to norm. But I don't think it's -- but I don't know that it's going to be the old norm. I mean I think it's going to revert to some norm, but I don't think it's going to kind of retrace back to pre-COVID levels. There's just too -- there's just capacities too tight. There's a handful of kind of fundamental trends that aren't going away. And it's just going to take -- it's proving that it's going to take an extraordinarily long time for these supply chains to reset.  And what I would call a more traditional cyclical market, rates would go up, the asset-based guys would overinvest in their trade lanes and bring prices back down and away we would go. But in this environment, if a trucker wants to take advantage of the market environment and put another truck online, well, first, you can't get the parts to manufacture the truck, and then you can't find a driver to put in the truck to have it built to begin with. So some of the kind of traditional levers that we think about in terms of rebalancing kind of traditional supply and demand dynamics they themselves are under attack. So it's just going to be a lot longer path than I think any of us probably expected heading into this.
Jeffrey Kauffman: So to your point, when we go back to normal, it's going to be a different normal?
Bohn Crain: Yes.
Jeffrey Kauffman: What kind of things are you being asked to do more by customers these days that you weren't being asked 12 months ago? Outside of please help me, I can't get things past the ports. But are there new industries, new services, new business lines that are coming to you as a result of what's going on?
Bohn Crain: I don't know, but I wouldn't necessarily say new business lines. I mean we've very diversified geography and service line. So I wouldn't say it's necessarily anything new, although there are definitely categories where we've done very well in whether it's the FEMA type business or life sciences and testing type work, but it's really across the board. Some of the underlying -- one of our big underlying themes that we probably talked about before is this notion of bundling value-added services with the core transportation service offering. And whether that takes the form of contract logistics or customs house brokerage or kind of more robust technology solutions, all of those -- that theme is kind of underpinning a lot of what we do and it's working.
Jeffrey Kauffman: Last question. If I heard you right, the 5 million share authorization expires at year-end, so you'll do what you can to opportunistically. But to buy additional shares after January, you would need a new authorization?
Bohn Crain: Yes, but that's relatively straightforward and effectively easily accomplished. We just have to kind of make a communication, get it out there. So there's no real hoops per se other than we just need to refresh our authorization to continue into the new year, which we fully expect to do.
Jeffrey Kauffman: Okay. Well congratulations, fantastic quarter.
Bohn Crain: Thanks, Jeff.
Operator: Your next question is coming from George Melas.
George Melas-Kyriazi: George Melas from MKH Management. I'm fairly new to the story, and I'd like to ask your question on sort of your corporate internal priorities, including things like the integration of USAP, TMS across your different lines of business, your investment in the Canada warehouses. Where are you putting your internal focus from an operational perspective and trying to make this continuously a better company?
Bohn Crain: So welcome to Radiant first. We've been at this for a while now. In the early days, we did a lot of acquisitive growth. And the investors said, "Yes, that's all fine and well, but how about some organic growth, Bohn". I'm not seeing a lot of organic growth. So over the past several years, we've focused on, one, integrating the businesses that we had acquired. And back in 2015, we acquired another public company called Wheels that we ultimately rebranded as Radiant Canada. So we've been spending time making sure to take the time to make sure the things that we acquired were working integrated and creating cross-sell opportunities across the organization.  And then up until very recently, we were really focused on organic growth. We been building out a vertical sales team as well as continuing to invest in field sales, incremental field sales resources to drive organic growth across the business. And again, that has continued to bear fruit, again, being relatively new to the story. We are also spending a fair amount of time and energy around our implementation of SAP, which has gone -- which has taken some time, but is going well, and we've got good traction on that. And then kind of coming -- we were starting to think about getting kind of more acquisitive again when COVID hit.  So we shut that down as we were navigating COVID. But as we've come out on the backside of that, we're actively trying to engage and kind of rebuild our M&A pipeline and kind of begin that work again and not to dwell on it more than we have already necessarily. All the while recognizing that we've got a great opportunity to continue to buy in our own stock given where it's trading. And it's one -- I guess I will take the opportunity now to just kind of reemphasize. We started building it into our press release. But on a trailing 12-month basis, we just delivered $54 million of EBITDA that's extraordinary in the historical context of Radiant and kind of put that alongside the fact that we effectively delevered the business in 2015 and never relevered the balance sheet. So we're sitting here with call it, a $55 million run rate EBITDA business with less than one turn of debt on its balance sheet, trading at dramatic discounts to the market.
George Melas-Kyriazi: And do you see among your agents, do you see a fair amount of variation in terms of performance during the sort of abnormal times? Or that's kind of this the tide lift all boats?
Bohn Crain: Well, yes and no. I mean, I think I kind of think of it very much as a portfolio effect. So individually, a lot of the stations are niche. But in the aggregate, they represent a very diverse portfolio. So at any point in time, we'll have some up, some down, some sad stories, some extraordinarily successful stories within the portfolio. And we -- and they come in all shapes and sizes, too. We've got some very large agent stations, and we have some small, very small micro type agents that we support as part of our network.
Operator: Your last question is coming from Michael Vermut.
Michael Vermut: Those are good questions you've had so far. So when you look at it -- first of all, I applaud you. I was saying these results, it's not this quarter, last quarter, it's really the last 6 to 7 quarters, this company has performed beyond expectations, right? This is something we've been looking for, for the past 5 to 10 years, and you've been putting it up now. And so just looking back, we're earning about 4x what we did 3 years ago, and our stock is basically at the same price. And I do the math here. The gentleman before me did the math. And he had a 7x, I have is about 6x where we closed on our run rate EBITDA. And I -- it's nice to hear that someone offering a preferred like that, that they would offer that. I look at it a little a little different...
Bohn Crain: He's on the 7%. I was looking for 6% from you, Mike.
Michael Vermut: I was going to say I'll offer you a 2% or 3%, but I think [indiscernible]. I'm saying for a balance sheet like this and a cash flow company like this, I'm saying my guess is anyway. Going back to it. If we're on a $60 million -- $55 million, $60 million EBITDA run rate, we have a free cash flow conversion, there's so much room to buy back stock. I don't even think that asked the question, is funding it. I think the question is how we can balance the -- if the stock stays here, I would buy every single share, you could, obviously, right? I think to be -- when you said that $10 million EBITDA companies trade at 10x, $2 million company traded at 5, 6x, or a $60 million, $55 million to $60 million company, and we're trading at 6x. So obviously, you deploy everything you can until it normalizes and we have a long ways to go to normalize. It's to get the normal multiples, which is -- when you look at the public companies, they're trading at 15 to 20x EBITDA.  So just a 10 multiple, guesses, $12. So that -- what I'm trying to digress a little bit. So obviously, we're going to be buying back as aggressively as possible. Are there those companies that make sense acquisition-wise in here that are really accretive, really great on technology that makes sense? Or is it -- let's get our stock to a normal valuation first because it's still absurd and then look at the acquisition? Or can we just do both and have a platform where we have phenomenal organic growth, buying back a ton of our stock and acquiring?
Bohn Crain: I like C in your multiple choice questions. Yes. So we certainly believe that -- well, we believe it's incumbent upon us to continue to look for those types of opportunities that we believe are super synergistic and can be game-changing for us and our platform. So -- and believe me, we kiss a lot of frogs that we pass on looking at deals. I can't tell you how many deals that we've looked at and passed on over the years. So we're not going to stop looking for M&A just because our stock price is undervalued. And candidly, I fully expect that we're going to do both, that there are companies out there that will kind of fit the criteria that we believe are worthy of deploying our capital and kind of fitting in the business and the strategy and kind of helping us continue to scale and grow the business.  All the while continuing to put capital work on the buybacks as well. So that's a long way of saying is I definitely do not see these as being mutually exclusive strategies or binary in nature.
Michael Vermut: Excellent. Now I am a proponent of an accelerated buyback. But we should assume if the stock stays here, you're going to buy whatever we could at these levels. So I don't want to tip your hand, but I don't have a name in the portfolio. I don't have a name on my screen or in any of the sectors I look at that have our balance sheet, our growth, our future outlook with our valuation. So it's a unique story. Our stock is at the same price we've been at 5 years, and we're earning 5x as much with a perfect balance sheet. So that's the objective, I assume, is not to do a tender, but to buy every share -- everything we can at these absurd levels.
Bohn Crain: We will be active in our stock buyback, that's our expectation.
Michael Vermut: Love it. And then one last thing. So when everyone is saying, yes, this is a phenomenal environment out there. With what you've done at the company, the new customers, all of that is kind of Radiant at a new plateau, regardless of things slowed down a little bit. Our margins improved a little bit. How -- is the company -- have we gained enough and I'd love to hear the types of customers that we have, what verticals, is it across verticals. So is this permanently changed what Radiant is, what's happened over the last two years?
Bohn Crain: I certainly think so. Even what I'll call pre-COVID, we were beginning to have opportunities to kind of move up market, if you will, in terms of the size and the scale of the types of RFPs or new business opportunities that we were invited to propose on and that trend has continued. So I think for the foreseeable future, we would still view kind of the classic middle market shipper is being our kind of our primary customer, but that's a huge universe within that kind of within that gradiation. And -- but kind of the opportunities and deal flow has and we expect will continue to accelerate. There's a lot more we can do not only within the verticals we're already in, but a number of adjacent verticals that we're not actively organized in that are also very interesting for us on some of kind of the organic stuff.  And there's -- and I think there's a lot more that we'll have an opportunity to do on the international side as well. And so we're I mean there's not a thing that you've said that I disagree with. And we're really optimistic about kind of where we are, our trajectory of things. Sometimes I talk about our stock price and historically, our stock price has kind of plotted along, but then we'll have some kind of step function kind of unlocking the value when the cumulative weight of the evidence kind of demonstrates that we're doing what we say we're going to do and we're executing the right strategies and the business model is really working.  Well, to me, $54 million of TTM EBITDA goes a long way in that conversation. But ultimately, the market will decide and we'll continue to execute our strategy.
Michael Vermut: Excellent. Look, my hats off to you guys, the execution has been phenomenal through these times. And when you look at just the normalized to give you the lowest multiple in our sector puts us north of $12 and that's the lowest multiple. And it gives us an opportunity. You can look at this, yes, it's unbelievable that we're here, but it gives the company a really unique opportunity to change your capital structure permanently by retiring all these shares. So in the long run, this isn't a bad thing to be able to buyer your stock at such an accretive level. So hats off to you guys and just keep up the great work. right.
Bohn Crain: Thanks, Mike. Appreciate it.
Operator: There are no additional questions in the queue at this time.
Bohn Crain: All right. Let me close by saying that we remain very bullish on our prospects here at Radiant and the scalable non asset-based platform that we've built. With the diversity of our customers and service offerings, the strength of our balance sheet, the scalability of our technology and our extensive carrier partner network, we are certainly optimistic about the continued economic recovery and the opportunities that it will present for Radiant. At the same time, we remain patiently persistent in the pursuit of our vision to leverage our multi-brand strategy and scalable back-office infrastructure to support further consolidation in the marketplace, which we believe, over time, will continue to deliver meaningful value for our shareholders, our operating partners and the end customers that we serve.  Thanks for listening and your support of Radiant Logistics.
Operator: Thank you, ladies and gentlemen. This does conclude today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.